Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Apache Corporation’s Second Quarter 2020 Earnings Announcement Webcast. At this time, all participants’ are in a listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions] I would now like introduce your host for today's conference call, Mr. Gary Clark, Vice President, Investor Relations. You may begin.
Gary Clark: Good morning and thank you for joining us on Apache Corporation’s Second Quarter Financial and Operational Results Conference Call. We will begin the call with an overview by; CEO and President, John Christmann; Steve Riney, Executive Vice President and CFO will then summarize our first quarter financial performance; Clay Bretches, Executive Vice President of Operations; and Dave Pursell, Executive Vice President of Development will also be available on the call to answer questions. Our prepared remarks will be approximately 15 minutes in lengths with the remainder of the hour allotted for Q&A. In conjunction with yesterday’s press release, I hope you have had the opportunity to review our second quarter financial and operational supplement, which can be found on our Investor Relations website at investor.apachecorp.com. Please note that we may discuss certain non-GAAP financial measures. A reconciliation of the differences between these non-GAAP financial measures and the most directly comparable GAAP financial measures can be found in the supplemental information provided on our website. Consistent with previous reporting practices, adjusted production numbers cited in today’s call are adjusted to exclude non-controlling interest in Egypt and Egypt tax barrels. Finally, I’d like to remind everyone that today’s discussions will contain forward-looking estimates and assumptions based on our current views and reasonable expectations. However, a number of factors could cause actual results to differ materially from what we discuss today. A full disclaimer is located with the supplemental information on our website. And with that, I will turn the call over to John.
John Christmann: Good morning and thank you for joining us. For the last several months, the world and the global E&P industry have been facing one of the most challenging environments in recent history. Apache is responding with decisive actions designed to protect our people, our assets, our investors and the communities, in which we operate. And I want to take this opportunity to thank the many Apache employees and contractors for their hard work and dedication in these tough times. In my prepared remarks this morning, I will discuss the progress we made during the second quarter and review our key objectives and capital priorities going forward. I'd like to begin with a brief update on our response to the COVID-19 pandemic. Apache moved quickly to implement a wide range of fit for purpose protocols to ensure a safe and productive work environment in both our onshore and offshore operations. Thankfully we have experienced a relatively small number of COVID-19 cases and have incurred no material operational disruptions beyond our intentional production curtailments. We are prepared to maintain our current work model for as long as necessary. Since the onset of the pandemic we have been listening and responding to the specific needs of the communities, in which we work and live. Apache has donated PPE and critical medical equipment to hospitals and first responders, as well as supporting food banks. long distance learning initiatives, and shelters for women and children. From an operational and financial perspective, during the second quarter, we executed our planned activity reductions on schedule and delivered upstream CapEx well below guidance of $230 million. For the full year, we are now tracking toward the lower end of our capital guidance range of $1 billion to $1.2 billion. The majority of our organizational redesign has been implemented, achieving combined run rate, LOE and overhead savings of more than $300 million as planned. Net of severance and restructuring costs, actual cash savings realized in 2020 are estimated to be approximately $225 million. Through these and other actions we have reduced our free cash flow breakeven oil price to be around $30 per barrel on a forward-looking basis. This allows us to protect our current financial position and enables positive free cash flow in the current price environment. And in Block 58 Offshore Suriname during the second quarter, we submitted a plan of appraisal for our first discovery mockup announced our second discovery at Sapakara and spudded our third exploration well Kwaskwasi, the results of which we announced yesterday in conjunction with our earnings release. We are thrilled with the results from the Kwaskwasi-1 exploration well. This is the best well we've drilled in the basin to date with the highest net pay and the best quality reservoirs. While we have a lot more work to do, a discovery of this quality and magnitude merits a pace of evaluation that enables the option of accelerated first production. Following Kwaskwasi the Noble Sam Croft drillship will move to the fourth well in our 2020 exploration program, Keskesi. After, which Apache will transition operatorship of the block to our partner Total. Turning now to the curtailment program. We have returned our North Sea and Alpine High volumes to production along with a portion of curtailed oil volumes in the Permian. We anticipate that several thousand barrels of higher cost Permian oil production may remain offline for the rest of 2020. Apache is currently running one exploratory rig in Suriname, five rigs in Egypt, and one floating rig and one platform rig in the North Sea. We intend to maintain this activity set for the remainder of the year if commodity prices do not deteriorate significantly. At this time in the Permian Basin, we have no drilling or completions activity and no plans to complete our DUCs for the remainder of the year. As we look at the second half of 2020 into the long-term, our key objectives remain unchanged despite the extreme price volatility. We will budget conservatively and direct free cash flow on a priority basis to debt reduction maintain a balanced and diversified portfolio and prioritize investment for long-term returns over production growth. We have spoken frequently about our priority ranking for capital deployment within the portfolio, and our thoughts on this are worth reiterating. At the top of the list is Suriname, which will continue to receive priority funding for both exploration and appraisal activity. Under the terms of our joint venture, the incremental cost to Apache associated with appraisal and ultimately development should be very manageable. Our second priority is Egypt, where the PSC structure offers more stable returns in relatively low and more volatile oil price environments. Following that, we should look to complete our DUCs in the Permian Basin and resume drilling with a second platform rig in the North Sea. And finally, while our Permian operations have been delivering highly competitive economics within the basin, other areas within our portfolio offer more attractive investment options in a capital-constrained environment. Therefore, we don't envision returning rigs to the Permian Basin unless oil prices recover well into the $50s. We have always stated that our best hedge against price volatility is prudent and responsive management of the capital program. To the extent, oil prices are sustained at/or below $50 per barrel WTI, we do not anticipate a material change in our annual capital budget from the current rate of around $1 billion. For oil prices significantly below $50 capital spending is more likely to be reduced from the $1 billion mark. If oil prices rise above $50, we will be very measured with our capital increases and the first column that incremental free cash flow will be returned to investors initially with debt reduction. I'd like to close by summarizing Apache's approach to managing the unprecedented challenges thus far in 2020. We implemented successful COVID-19 operating protocols and work-from-home procedures and helped ease the burden of the pandemic on our host communities in numerous ways. We responded to the sudden price drop by quickly limiting cash outflows to protect our balance sheet. This included a significant reduction in capital, dividends and overhead and operating costs. These along with other actions have enabled us to lower our free cash flow breakeven such that we now have good visibility to debt reduction. Operationally, we have preserved optionality to reactivate our curtailed production, development programs and other investment opportunities when appropriate. And we have successfully advanced our exploration program in Suriname. Through these and other actions, particularly the successful implementation of our corporate redesign, we entered the second half of 2020 a very focused and streamlined organization. The benefits of our diversified portfolio are more evident now than ever as we flex capital towards our international operations. Together, with our world-class position in Suriname, Apache offers a truly differentiated investment opportunity within an industry that has come under tremendous pressure. I would like to again thank all the Apache employees for their commitment, resilience, hard work and flexibility as we successfully navigate these challenging times. And with that, I will turn the call over to Steve Riney.
Steve Riney: Thank you, John. On today's call, I will review second quarter 2020 results, discuss progress on our cost-saving initiatives, and provide commentary on our free cash flow outlook and debt management efforts. As noted in our news release issued yesterday, under generally accepted accounting principles, Apache reported a second quarter 2020 consolidated net loss of $386 million or $1.02 per diluted common share. These results include items that are outside of core earnings, the most significant of which are, an unrealized loss on derivatives, a tax valuation allowance, and asset impairments, partially offset by a gain on the repurchase of outstanding debt. Excluding these and other smaller items, the adjusted loss was $281 million or $0.74 per share. Adjusted production decreased 7% from the prior quarter, primarily driven by shut-ins and production curtailments of approximately 190,00 BOEs per day at Alpine High, and production curtailments of 10,000 BOEs per day in the North Sea and 6,000 BOEs per day for other operations in the Permian. Partially offsetting this was increased Egypt cost recovery volumes due to the lower oil prices in the quarter. Apache's second quarter average realized price on a BOE basis fell 39% from the prior quarter, with oil and NGL prices down materially. International oil price realizations were notably weak, as actual price realizations dislocated from the published benchmark price. This discount was driven by unprecedented excess supply on the market, resulting in unusual competitive pricing dynamics. Consequently, second quarter international oil realizations averaged around $5.50 per barrel below the benchmark, which we do not customarily experience. So far in the third quarter, Brent pricing has reconnected with the benchmark and we do not currently anticipate this changing. Turning now to our cost savings initiatives. We entered 2020 with a goal of reducing annualized overhead and LOE costs by at least $150 million. With the price downturn in March, we took quick action to double that goal to at least $300 million. We have since fully achieved this target and then some. Roughly 2/3 of the targeted savings are coming from overhead reductions, and 1/3 from direct LOE reductions. These are sustainable cost reductions, and they are showing up in multiple places on our financial statements. So let me provide some detail. Of the roughly $200 million of annualized overhead cash cost reductions, approximately $100 million will show up as reduced capital investment. $20 million will come in the form of reductions in LOE and exploration expense, and approximately $80 million will show up in lower G&A expense. So our underlying G&A expense, which in the recent past typically ran about $100 million per quarter, should now run around $80 million per quarter. During the first quarter of 2020, you will recall we had a nearly $30 million reduction in G&A expense caused by the mark-to-market effect on share-based compensation plans associated with the significant negative movement in our stock price. During the second quarter, this impact partially reversed, generating a $19 million increase in G&A expense. As a result, second quarter G&A expense was $94 million. Turning now to LOE, we have eliminated approximately $100 million of direct LOE costs on an annualized basis. In addition to these sustainable LOE reductions, we are also seeing cost reductions associated with production curtailments and deferred workovers as well as the deferral of certain other nonessential activities. While these actions reduce costs in the near term, they are not sustainable, and we expect at least a portion of them to return at some point in the future. As we have previously noted, one of our key long-term objectives is debt reduction. Let me share two views on this objective as we look at the second quarter. With respect to long-term debt, we took the opportunity to repurchase bonds at significant discounts when the debt markets came under pressure. In aggregate, during the second quarter, we repurchased $410 million of face value debt for $263 million, reducing aggregate long-term debt by $147 million. The repurchase debt had an average remaining term of approximately 20 years and at the purchase price, had an average yield of 9%, making this a very attractive investment. Another view of debt is through the borrowings on our revolver. Between the negative cash flow impacts of the extremely low price environment and the $263 million of bond repurchases, we ended the quarter with $565 million outstanding on the revolver. With an improving second half price outlook, combined with lower capital investment and reduced operating and overhead costs, we anticipate generating positive free cash flow in the second half and using it to reduce borrowings on the revolver. Before wrapping up, I'd like to note that we did issue third quarter guidance yesterday in our financial and operational supplement on our website, which covers our outlook for capital investment and production as well as a number of expense items. In summary, although it was a very challenging quarter from a price and cash flows perspective, we took significant actions to reduce our cost structure, protect the balance sheet and retain asset value for the future. To the extent WTI oil prices remain above $30 per barrel, we look forward to generating free cash flow in the second half of 2020 and using that to reduce leverage. And with that, I will turn the call over to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from Doug Leggate with Bank of America.
Doug Leggate: Sorry, guys. I was on mute. I couldn’t get my mute button to go off. I apologize. Good morning, everyone. John, this is also a great day for your stock, and congratulations on the latest discovery in Suriname. I'm obviously going to focus my two questions on that, if I may. So my first one is your comment in the press release about this deserves perhaps the option of an accelerated first production. My question is, what influence does Apache have over that? How aligned is Total? And what are the parameters within the contract that could get you to that? And I guess what I'm really aiming for is, would you consider an early production system here? And I've got a follow-up.
John Christmann: Well, Doug, thank you, first of all. I think in the end, it's just going to boil down to the quality of the well and the rock and the play, when you step back and look, Block 58, 1.4 million acres. To put it in perspective, it's over 250 Gulf of Mexico blocks. We've now drilled 3 wells in 3 different fairways. And I use that context to help you understand why you can have 3 very large fairways. We're going to be moving to another one with Keskesi once we conclude operations. The comments in the press release kind of speak for themselves. With where we sit, I think that our partner is also excited. We've done some things in the Campanian, with this well, we gained -- collected some extra data. We're doing some things with an exploration well that you typically would not do, which helps us gain some insight into what we've got. And so we'll -- in the end, it's going to boil down to us being aligned with our partner. And of course, aligned with the Staatsolie and the government of Suriname in terms of the pace and moving it forward. But I think in the end, it's going to be the quality of the rock and the resource potential that's going to drive that.
Doug Leggate: Pardon my follow-up on this -- that question, John, but Total just don't seem to be communicating the same level of urgency, I guess, as your comment in the press release. So I just wonder if you could help us bridge the gap between the two, given the...
John Christmann: Well, I think, what all my comment says is that, it's of a quality that would look at an accelerated pace. I think in their press release today they stated that, there will be an appraisal and exploration program early next year to appraise our discovery. So I'll just leave it at that.
Doug Leggate: Okay. My follow-up is also on Kwaskwasi. And it's related to the deeper Santonian. Obviously you did not disclose anything other than hydrocarbon reservoir. The last thing we heard of that expression it was gas condensate at Haimara and Guyana. So I'm just wondering if you can address some concerns out there, as to what the hydrocarbon type is. Why you didn't release APIs? What do you know about scale? And just any other ways you can characterize that deeper horizon? And I'll leave it there. Thank you.
John Christmann: Yeah. The thing I'll say is, if you look at the first two wells, the Santonian has been more oily than the Campanian. So I will tell you everything looks good here. We are in a position, because we had done some additional work in the upper zones. And set pipe in the Campanian that we had a lot of that -- all that information. There is still more that we are collecting here but we felt like we were at a position with the materiality that we should talk about it. I'll let Dave to give a little more color on the Santonian there.
Dave Pursell: Yeah. Thanks John. So Doug, John talked about some additional testing in the Campanian. So it's important from a timing perspective we did some additional deeper investigation-type testing. And it does two things for us. It gives us a composite flow capacity and allows us to see a little deeper in the reservoir than conventional fluid testing allows. So we've -- we're through the Santonian. We have the conventional wireline logs collected. Based on our experience with the mud logging and the open-hole wireline logging, on Maka, Sapakara and the Campanian in this well, we feel confident that we have oil, in significant portion of the Santonian. So we felt like, we were fine with releasing. We still have work to do. We still have to collect fluids and pressures. We have core data to collect. And we anticipate doing some of the additional deeper investigation testing, on this interval. So I wouldn't read too much into the fact that we don't have -- we didn't release API gravities because we don't have those collected yet.
Doug Leggate: Thanks. Congrats again. And I look forward to next quarter. Thanks.
Dave Pursell: Thank you.
Operator: Our next question comes from Mike Scialla with Stifel.
Mike Scialla: Yeah. Good morning and brilliant and congratulations as well. I was curious on Kwaskwasi the results there how those compared to expectations? Was there any indication from your seismic data that this well would have more than double the net pay of the other two?
John Christmann: Yeah, Mike, first of all, thank you. I mean when you look at the seismic we knew Kwaskwasi was going to be a prolific fairway, as the other two were. It boils down a little bit about the depositional environment. I mean once again, we're in such a large area and these wells are so far apart, that you have to drill them to learn that. So I mean clearly, it exceeded what would have been pre-drill. But we knew there was that kind of potential. And there is -- the exciting thing about it is we've got a lot more of this block to explore, but clearly, very excited about it.
Mike Scialla: Good. And then, Stephen, you mentioned about prioritizing that you want to improve the balance sheet obviously. I was wondering how you would prioritize options there? Is it really just using free cash flow to pay down debt or any other options you've considered at this point?
Steve Riney: Yeah, Mike. I think, in a more typical environment you'd see companies selling assets to strengthen the balance sheet to pay down debt. And I think it's clear that, in the price environment we're in right now that just doesn't work. And so for the most part, it is going to be the old-fashioned way of retaining free cash flow spending a little bit less on capital which we all ought to be doing. And that just means it will take some time to get the balance sheet in order unless there's a price spike or some -- there will be the occasional one-off opportunities where you have a chance to do something to reduce debt similar to what we did in the second quarter with repurchasing some debt at a discount. And we'll take advantage of those from time-to-time. But I do believe this is just a simple case of prioritizing retaining free cash flow and using it to pay down debt instead of spending it on capital to maybe achieve a different type of growth profile. Clearly for us, strengthening the balance sheet is going to be much more important than growing production volume. And I think we're now approaching a period, where we're going to be able to do that. We've -- as John mentioned in his prepared remarks, we're now capable of running free cash flow neutral at $30 WTI on a point forward basis for the rest of this year, with the CapEx budget where it is, with the dividend cut, the overhead cuts, the LOE cuts, some of the other things that we've done. We have no intention of raising the capital budget for this year. And that's what we'll do. And to the extent that oil price exceeds $30 WTI, we'll use any excess free cash flow that that generates to reduce debt.
Mike Scialla: Very good, thank you.
Operator: Our next question comes from Bob Brackett with Bernstein Research.
Bob Brackett: Hi. Good morning. I'm intrigued a bit by the comments around, doing some things with an exploration, well that you wouldn't typically do in the deeper investigation type testing. Are you performing a mini drill stem test out there? And are there any rates to report?
Dave Pursell: Yes. Bob this is Dave Pursell. Good try. We – it's something that would be between – if you want to call them mini drill stem tests that would be a reasonable characterization. It's something between a full drill stem test and what you typically would get from a fluid sampling operation. So again what we're getting from this is composite flow capacity of a – instead of a point permeability measurement from a core sample, we're getting a composite flow capacity and then another benefit is some deeper investigation for pressures into the reservoir. So we're still evaluating that data. But that's what we're doing. And again, we anticipate performing those tests in the Santonian as well.
Bob Brackett: Okay. Yes. That's clear. Another question. Given the thickness of this recent discovery, what drove the sequencing of the overall exploration campaign? And what might that tell us about the fourth well?
John Christmann: I mean I think when you step back and look, as we said we had multiple fairways. I think there – and you look at the size and think about this it's equivalent of 250 Gulf of Mexico blocks. So moving across there. A lot of it has to do just with how the – how things were deposited. But we've got a full another fairway that it will be testing. So we're anxious to move over and see. But everything looks really good on the seismic. So we're anxious to move on to Keskesi after Kwaskwasi.
Bob Brackett: Appreciate it.
John Christmann: Thank you.
Operator: Our next question comes from Charles Meade with Johnson Rice.
Charles Meade: Good morning, John, you and your whole team there.
John Christmann: Good morning, Charles.
Charles Meade: I'm asking another question on the relief the headline that everyone is focused on the thickness of the pad that you guys found with this well. I'm curious, is there anything going on with either the dip of these sort of formations or perhaps structurally that's some kind of mitigating factor for that thickness you announced? Or is this more the case where you guys just really found a thick stack of pancakes here?
John Christmann: I would just say it's really more depositionally. There's nothing tricky with it. Geology is pretty level out here. So it's very exciting. I think it just goes to the quality in the Cretaceous here both with the Campanian and the Santonian. So as we've said, there are other play types that we are still looking forward to testing. The Turonian is a target we had at Maka. There's more to do. We've really – with the Campanian and Santonian, we're really only fully starting to evaluate two of the play types, we think there's seven or eight – so there's multiple targets. So a lot of exploration to do. And obviously, we got a lot of appraisal work to do on these first three discoveries.
Charles Meade: Well, John, you anticipated my follow-up question on the Turonian because I remember back, you guys certainly have plenty to say grace over here but going back to that first well, the Maka well that you guys had some encouragement with the Turonian. So does – is that something that we should anticipate you guys are going to – are you going to maybe test with your next well? Or is that something that's where you found enough in the Campanian and Santonian that that's kind of receded into 2021 or beyond?
John Christmann: Well just the timing of how – if you look Charles, we're really still moving across one direction across this block with these first four wells. We haven't even started to move the other direction which would be north and south. So we're going to – Keskesi, obviously move to the other side of Sapakara. So we'll talk about that with the future exploration wells.
Charles Meade: Got it. Thanks for the color, John.
John Christmann: Thank you.
Operator: Our next question comes from Jeanine Wai with Barclays. 
Jeanine Wai: Hi, good morning, everyone.
John Christmann: Good morning.
Jeanine Wai: I've got two questions on Suriname starting. But I guess my first question is just on the reservoir quality. And the second is just on the accelerated first production commentary. So based on what you've seen so far from the Kwaskwasi well, can you provide a little more color on what makes the reservoir at one of the best quality reservoirs that you've ever seen in the basins? And is it primarily just the net feet to pay? Or are there other characteristics that you can elaborate on?
John Christmann: I'd just say in general, it's better. It's better if you look at the one net fee to pay both in the Santonian and in the Campanian are greater than we had in the first two wells combined. So that's one element. But I'll also tell you the quality looks fantastic. So at this point that's all we're going to say about it.
Jeanine Wai: Okay. I can appreciate that. And then my follow-up question. In terms of the potential for accelerated first production relative to the current plan which to our understanding I think was something around four development wells and four exploration wells a year. Is the thought that maybe you could shift some exploration CapEx, development Capex? Or do you envision doing more than the four plus four wells? I know it's still early but I'm also not sure if there's anything in the PSC that allows for some timing flexibility.
John Christmann: Yes. I mean, what I would say is I don't know where the four appraisal or four development wells came from. We're drilling four exploration wells this year. Under the terms of our joint venture us and our partner can each propose four exploration wells so there could be eight going forward. What we've stated is there will be both an appraisal program and an exploration program in 2021 and we plan to try to get started as early as we can. So clearly the comment is with what we've got and some of the things we're doing here, this is of a quality and magnitude that it would warrant trying to look at could it be accelerated is all we're saying.
Jeanine Wai: Okay. Great. Thank you, very much.
John Christmann: Thank you.
Operator: Our next question comes from John Freeman with Raymond James. 
John Freeman: Hi guys.
John Christmann: Good morning, John.
John Freeman: So, I wanted to focus on the capital allocation. You have been pretty clear about the balance sheet being the first priority and then kind of Suriname, Egypt, North Sea, Permian sort of that order. And the slide that you have got in your presentation sort of lays it out at different kind of price tags how that capital gets allocated. And John, you were very clear in your prepared remarks that it's going to take an oil price well over $50 to put a rig back to work in the Permian. But I guess, I'm curious with sort of where the current strip is which is just barely above $40, it's kind of right on the line there between, if you do anything in the North Sea, if you would potentially draw down DUCs in the Permian. And I guess, what I'm going towards is with this continued success in Suriname and everything you want to do there and what's -- and the continued run in Egypt, if maybe the gap has sort of widened between those two assets versus the other two where maybe at a low price is just barely above $40, it maybe doesn't make sense maybe to put the capital of those last two relative to the others? Like is there part of the pie now getting bigger I guess?
John Christmann: Yes. John, a really good question. I think the first thing I would say is in my prepared remarks, I laid out too that with where the strip is today CapEx probably comes down for the whole in '21. And that's just because of how we prioritize things. As it relates to the pie, Suriname, the way we structured our joint venture, it really doesn't change, how much capital we have to put into Suriname. So, clearly it's just going to boil down to how much capital do we want to spend. And with where the strip sits today, I really think that the CapEx budget is going to come down because, we're going to want to generate some free cash flow that can go towards reducing our debt.
John Freeman: Great. And then just the last question for me. With this latest result in Suriname and everything you're doing there, just internally relative to how you were thinking about the mix of kind of appraisal and exploration in Suriname next year, does this change that mix? I'm not telling you to give me the actual breakdown because you haven't probably determined that yet, but just does it change your thought process of how that mix would have been prior to this result?
John Christmann: It really doesn't because I mean we've been -- I think, we understand the potential there. Clearly, there's things we're going to want to try to move forward on an accelerated pace if we can, but we also have a very large block that we have to continue to explore. And so, we're going to want to continue exploring. I think the exploration pace will be pretty similar to what it is today. And then, it will just be a function of what we need to do on the appraisal side with our partner.
John Freeman: Thanks, John. I appreciate it and congrats.
John Christmann: Thank you.
Operator: Our next question comes from Gail Nicholson with Stephens.
Gail Nicholson: Good morning. Congratulations on another great Suriname well.
John Christmann: Thanks Gail and good morning to you.
Gail Nicholson: When you guys look at Egypt activity in the second half of the year, could you just talk about any exploration targets that you guys are looking for to tackling?
John Christmann: I mean, Gail, we're -- we continue to work Egypt hard. And we've shot a big -- a very large 3D there. We continue to high-grade our inventory. We do have some interesting things that are on the schedule that we're anxious to drill some stratigraphic targets. And at some point, if they work like we think they could work then there will be some things to talk about.
Gail Nicholson: Great. And then Steve, in the first quarter call, you talked about a cash flow sensitivity that for every dollar move in oil was in the -- roughly in the $50 million to $60 million range. Is that still a good proxy to use? Or has that improved?
Steve Riney: No, that's still a pretty good proxy to use for every dollar around -- probably close to the $60.
Gail Nicholson: Great. Thank you.
John Christmann: Thank you, Gail.
Operator: Our next question comes from Arun Jayaram with JPMorgan Chase.
Arun Jayaram: Good morning. John, I was wondering if you could maybe as a follow-up to John's question, just give us some thoughts on your plans to delineate the three discoveries you've announced thus far and thoughts on potentially bringing in additional drilling rig to the theater call it next year or beyond?
John Christmann: Yes. Arun, I'll just say, we have a kind of a procedure through the concessions that we follow. And we have submitted the appraisal plan for Maka. We are working on the appraisal plan for Sapakara. There will be one that follows Kwaskwasi and clearly there's going to be an appraisal program that starts in early '21. And at this point, that's all I'm at liberty to really say, but we look forward to getting after it.
Arun Jayaram: Great. Great. And just a follow-up regarding Egypt, you guys have talked about the new licensing areas. I was wondering if you guys have processed seismic on your legacy position as well and perhaps a little bit more detail on when you plan to test the stratigraphic trap play concept that I think you've identified in the Ptah and Berenice discoveries back in 2014?
John Christmann: Yes. I mean, it's -- really it's -- Ptah and Berenice it really kicked off this whole effort. Prior to drilling those wells, we'd shot new 3D in 2013. They were on our legacy acreage position called offset. It really opened our eyes to the fact that we needed to start looking stratigraphically not just structurally in Egypt. We had found some things that were stratigraphic in nature through some of the wells that we had drilled in the past. But it really had us design the 3D, which we've been shooting and obviously we picked up new acreage and are shooting that over a lot of our old legacy as well, so a lot of prospectivity. We've got some wells that we're pretty excited to drill. And the nice thing about those is their vertical. They're onshore and there are the other wells we're drilling. So we can do them pretty quickly. It's just a matter of working through all the details and prioritizing. The rig count there we've also reduced. We're currently at five. We'd like to spend more there, if we could, so.
Arun Jayaram: Great. Thanks a lot.
Operator: Our next question comes from Scott Hanold with RBC Capital Markets.
Scott Hanold: Yes. Thanks. On Suriname, a great discovery and congratulations, by the way. Does that discovery really say anything about the positioning or your read of the seismic that you have over some of the other fairways like the Maka, for example, i.e. is there the chance that you guys now see the opportunity for like thicker structures other places? Is there anything unique that you found with that well? 
John Christmann: Yes. I mean, Scott, good question. I mean, I think, what you're learning too and is what we're learning, we've still got work to do. We'll continue to reprocess seismic. There are some carbonates and some things that make it harder. We're fairly deep here, as you saw with the TD that we announced in this well. So we're going to continue to work that. I mean it's -- I think what it really points out is just the vast size as you move from these first three wells between them and the size of the block. So we're going to get smarter with the reprocessing to better understand everything and put it all together. But the good news is, we've got a massive hydrocarbon system. Its working, its oil and we've got good reservoir in the Santonian and in the Campanian. So we'll learn more as we go and as we really start to drill wells. We've just drilled three. So with -- we'll learn more as we go. 
Scott Hanold: And effectively, as far as Keskesi goes in terms of where that was positioned, is there any chance that shifts a little bit as you continue to get closer to that? Or is that location pretty well set at this point? 
John Christmann: No. I mean, as we stated, we had I think nine wells permitted. We knew we would drill three for sure; likely, the fourth was the option we exercised. So there were -- we've got five other locations out there that were picked. Could be appraisal could be others so -- other exploration targets. But we've stick in with where the original wells were on most of these. I mean, it's Sapakara, we moved over one. So as you go and you learn more, you set yourself up to try to get smarter. But it's going to take some more work with the seismic to really change some of the interpretation that we did on the front end.
Scott Hanold: Understood. Appreciate it. Thank you.
Operator: Our next question comes from Brian Singer with Goldman Sachs.
Brian Singer: Thank you and good morning.
John Christmann: Good morning, Brian.
Brian Singer: Sticking with Suriname, how many combined appraisal wells at the three discoveries do you think are needed between moving forward with the codified development plan? And when you think about the appraisal plus the time to get to FID and any government approvals, what's the realistic timing for when we could see early production start-up and a realistic timing, if we see more normal production start up?
John Christmann: Well, I mean, I'd say, that number one, we'll determine the number of appraisal wells that we need through the program. So -- and we're working on that. So I really don't have anything to say other than there's going to be a program and obviously, we've got three discoveries to appraise and there will be contingency wells as we work through those appraisal programs that you'll have with those. Time line, we said normal process you're probably in the four to five range, in terms of years. Obviously, there’re ways that that could be accelerated, but I'm not ready to comment on anything at this point in terms of putting anything out there. I mean we're -- it's all fresh. We've got the log. We're working through this with our partner. We're working on right now, the Sapakara appraisal plan. And then, we're going to get after the Kwaskwasi appraisal plan following that pretty quickly so…
Brian Singer: Great. And then my follow-up is with regard to gas condensate. As you get more data on the gas condensate potential, how are you and your partner considering the potential if at all, for gas condensate development and economics? And is there any scale benefits from discoveries that you've made as well as in the Stabroek block of Guyana for a larger industry partnership? 
Dave Pursell: Yes, Brian, this is Dave Pursell. I think it's premature to go down any details on that. But the way I think you could think about it is, the oil is going to drive the initial development here. And then gas or gas condensate development is beyond that kind of a phase two, if you will. And, obviously, there'd be some scale benefit in the basin, if that were an option. But we're -- there's a long fairway between here and that determination.
Brian Singer: Makes sense. Thank you.
Operator: Our next question comes from Richard Tullis with Capital One Securities.
Richard Tullis: Hey. Thanks. Good morning. And, John, congratulations on the big discovery. Two quick questions. With no plans to resume domestic activity until oil prices are considerably higher, what are your current views on potentially monetizing any of the U.S. assets at this point? 
John Christmann: I mean, I'd just say with the portfolio, we're always working the portfolio. We're always looking at how we improve. When we look at our acreage positions out in the Permian specifically, the good news is, we don't have a lot of wells. We have to drill the whole acreage. In fact, mostly everything is HBD [ph]. So we've been looking at working swaps and things to improve our lateral fit in terms of drillable -- lateral feet. And then, I mean, it's -- we're always watching and looking and evaluating the portfolio. I'll just say what we typically do is, just come back and talk to the market after we've done things, rather than setting out expectations or anything on the front end.
Richard Tullis: All right. Thank you. And then just lastly, I know, we've been provided a good bit of information on the thickness of the three discoveries. Any initial thoughts on the aerial extent of any of the three discoveries at this point? 
John Christmann: Thoughts are that -- I mean, it's --we're -- they're very sizable, but we haven't given any color. And we haven't started to put any acreage size on any of these at this point. And I think it's premature. It's something we'd come back with after we've done the appraisal programs. 
Richard Tullis: Okay. That’s all from me. Thank you. 
John Christmann: Thank you. 
Operator: Our next question comes from Neal Dingmann with SunTrust. 
Neal Dingmann: Hello. John or Steve my question is just wondering with the pace of next year's appraisal plan at Suriname would that have any impact on your decisions on domestic or international play spending? 
John Christmann: In the way we structured our joint venture, we've kind of got everything worked in and planned around. I mean that was the main reason we held on to 100% of this block and really farm down 50% because we are really setting ourselves up for success because we believe there was a tremendous amount of potential and thought very likely we would find ourselves in this position. And so that's how we structured it. So it's really not going to create an incremental capital call that we can't fund it really at any price. Now you get into second quarter where we got -- all bets are off, but really in an even sub-$30 world we will be focused on paying down debt and funding Suriname. 
Neal Dingmann: Got it. And then just last question just on Egypt. I'm just wondering you mentioned that you'd probably stay the course if pricing stayed around here. Is there -- just kind of wondering if you could talk about any price sensitivity that would cause you to change that? 
John Christmann: No, Egypt works really well. I mean -- and quite frankly, that the driver there is how much free cash flow do we think we can spend and invest there. I would like to spend more because we've got a lot of prospectivity there and it works quite well. So we'll be looking to try to spend more money in Egypt if we possibly can. 
Operator: Thank you. Our next question comes from Leo Mariani with KeyBanc. 
Leo Mariani: Hey. Thanks, guys. Just wanted to kind of get a little bit more color around some of the comments you made with respect to CapEx. I think you guys specifically said that it's $50 you'd spend at or below the $1 billion as we work our way into next year. And I just wanted to get a sense, I mean, it seems to me that that level of capital you're going to see steady production declines in all three of your areas, sort of, Egypt, North Sea and Permian. Just wanted to kind of confirm that with you guys. And then if that is the case then are you guys just feeling comfortable with that just because of the great initial success in Suriname? Or you just think that the long-term economics in Suriname are going to be so good you're fine letting things blow down for a handful of years until this kind of kicks in? 
John Christmann: No, Leo I mean, I think, the point is we're managing the company for free cash flow and long-term returns. And it's not about production growth. I mean, obviously, we're not spending at a level today that would be maintaining production. We do know from past history that as you go forward with us with our decline rates some of these conventional assets really start to arrest that decline. So it would take more in the future, but it's a matter of priorities of how we're managing the company. And I think some of these other assets some of the things you talked about they're going to hold up pretty well with under investment. 
Leo Mariani: Okay. And I guess just with respect to your third quarter production guidance here you guys have the kind of adjusted international production of 135,000 BOE per day and kind of the upstream CapEx of $190 million. I want to see if you guys could provide those numbers on a kind of fully consolidated basis. So what would those be if we didn't make those kind of downward adjustments for the Egypt non-controlling interest in midstream and other things. 
Steve Riney: Yes. Leo, we -- I don't have those numbers to hand. So I'd suggest maybe you call Gary to take a look at the reported volumes. We typically talk about adjusted because those are the ones that have a true economic effect for Apache shareholders, but I understand the desire to know what the reported numbers might be. So if you want to talk to Gary about that that would be probably the best source.
Leo Mariani: Okay. Thank you. 
Operator: Our next question comes from David Deckelbaum with Cowen. 
David Deckelbaum: Good morning, guys and congrats. 
John Christmann: Thank you. 
David Deckelbaum: Just curious you've spoken quite a bit about obviously, Suriname. You talked about your capital allocation priorities as commodities improve and the emphasis on free cash. There were reports, I guess, earlier in the month or perhaps last month about Apache's potential interest in some other North Sea assets. If we think about Apache just as a portfolio company now, should we be expecting you look at opportunistic acquisitions that would increase your free cash per share scale? Or just given the immense resource that might be in front of you would that be something that would be off the table right now? 
John Christmann: No. I would just say that number one we typically as a rule don't comment on rumors and with the -- as we think about portfolio and changes, we typically talk about them after we've done things right? So if you look at us today, we've always believed in a portfolio. We've believed in diversity. We think we've got strong international assets. We maintained those at a time when there was push to try to move to more of a pure-play model. And so we've always maintained the balance. We believe in having an exposure to all the commodities and multiple strong legs to the stool that keeps it strong so. 
David Deckelbaum: Appreciate that. And then just the last one for me is you talked about priorities in accelerating appraisal and potentially development particularly in Block 58. How do you feel now? Or how are you thinking now about exploring in some of the other blocks namely 53? And if there were some leases that opened up towards the end of the year in more of that southern extension in the basin? Would we expect Apache to be present in those? 
John Christmann: Yes. I mean when you look at 58, it's a lot to say grace over for us. We're obviously -- it was important to us to structure our joint venture where we could maintain 50% of the profit oil. We're thrilled to have Block 53. I think directionally the way things are moving it bodes well for 53. So at this point we've got quite a bit to say grace over in that part of the world but. 
David Deckelbaum: Thank you, guys. Congrats.
John Christmann: Thank you.
Operator: Our next question comes from David Heikkinen with Heikkinen Energy. 
David Heikkinen: Good morning and thanks for taking my question. And congratulations on the success in Suriname, kind of triggered some memories of many DSTs that look for perm really poor pressure and then boundaries. With that thickness can you talk about how many DSTs you're running? What are you thinking about as far as detecting boundaries? And are there any analogies that in other basins or the Gulf of Mexico that you could point us to the -- to think about what those results will be as they come in? 
Dave Pursell: Yes Dave. This is Dave Pursell. Good -- thanks for the question. Yes when I think about a mini DST the -- probably the most important piece of information because there's a mini DST is the composite flow capacity. So we're getting that aggregate kind of near wellbore perm across a thicker interval. The deeper reservoir investigation is an added benefit but we still -- you're still not getting out as far as you would in a true conventional drill stem test. So what this is going to -- and the number of tests we're going to perform is dependent on a lot of factors on thickness and a number of things. But what the results are really going to allow us to do is, be able to be more thoughtful in the appraisal program as we come in and design more traditional drill stem test. And so it's a really good piece of information that's going to again make us smarter during an appraisal. 
David Heikkinen:   Yes. So really near wellbore probably won't get enough distance to see any boundaries. And that's really setting up for your future DSTs not anything more than that... 
Dave Pursell: Yes for -- yes that's probably the -- that's the way to characterize it. 
David Heikkinen: That’s helpful. Perfect. Thank you.
Operator: Our next question comes from Paul Cheng with Scotia Bank. 
Paul Cheng: Hi, thank you, good morning. Two quick questions. One in certain the discovery seems to be closing up you should be able to extend the horizontal well and tie it back into one production pop? Is that what you intend to do or that the reserve is it seems like big enough that you may any way that you use maybe two FPSO to develop it? 
John Christmann: Yes. Paul it's just early. I mean clearly the benefit of having these fairways and things is you're going to have all sorts of options. The key is having resource, oil and as you work through that and that's some of the stuff that will go into the planning of how we appraise and ultimately make those decisions. But there's a lot of optionality to how you do it. 
Paul Cheng: And -- okay. And last question that you sort of answered it before, but let me try another way to ask. In Permian if we're looking at -- given the success in Suriname you will be extremely busy in the second half of this decade and probably have very good growth. And so when we're looking at something like in your Permian asset do you consider it still a long-term core portfolio? Or that is not really considered as a long-term core portfolio from what you can see today? 
John Christmann:   No. I mean we like our assets in the Permian. I think we've always believed it was a key pillar. I think what -- in this price environment today, we've just got places that are going to get capital before that's going to get it. And I'll just -- I'll leave it at that. 
Paul Cheng: Thanks.
Operator:   Our next question comes from Jeffrey Campbell with Tuohy Brothers. 
Jeffrey Campbell: Good morning and congratulations. I'll jump in on the Suriname success so congratulations. Real quick question there, I just wanted to confirm who will operate the upcoming fourth exploration well? 
John Christmann:   Apache will operate the Keskesi well. After that well is when we've already started transitioning with our partner Total. And I will say, we chose the right partner for a lot of reasons and we're excited to continue working with them and let them take the reins as operator. 
Jeffrey Campbell: Right. Well being a little superstitious. I wouldn't mind seeing you guys drill one more well. So I'm glad to hear that. The other quick question was just how many Permian DUCs do you actually have right now in the queue? 
John Christmann: Permian DUCs you got that. 
Dave Pursell: Yes it's about 50 outside of Alpine High. 
Jeffrey Campbell: Okay, great. Thank you.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back over to John for any closing remarks. 
John Christmann: Thank you, operator. And thank you to everyone that has dialed in today. To close the call I'd like to leave you with three key takeaways: first, Apache has responded quickly and aggressively to the volatile price environment thus far in 2020 we are exceeding our cost and capital reduction goals and we'll continue to relentlessly work these initiatives. Second, we are laser-focused on free cash flow generation debt reduction and investing for long-term returns not production growth; and lastly, we have a differentiated portfolio that offers attractive investment options in this volatile oil price environment. The long-term future of that portfolio is underpinned by Suriname where our success rate thus far indicates a very large high-quality oil resource. We look forward to sharing our progress as we continue to appraise our discoveries and explore for additional oil. And with that we will conclude the call. 
Operator: Ladies and gentlemen that does conclude today's presentation. You may now disconnect and have a wonderful day.